Operator: Good morning and welcome to Canopy Rivers’ Financial Results Conference Call for the quarter ended September 30, 2020. I am joined this morning by Narbé Alexandrian, President and Chief Executive Officer; Eddie Lucarelli, Chief Financial Officer; and Matthew Mundy, Chief Strategy Officer and General Counsel. They will be making some formal remarks, following which we will conduct a question-and-answer session. At this time, all lines are placed in a listen-only mode [Operator Instructions] This call is being recorded on November 9, 2020. For this conference, the press release, MD&A and condensed interim consolidated financial statements for the three and six months ended September 30, 2020, are available on the Investors section of Canopy Rivers’ website at www.canopyrivers.com, as well as on SEDAR. Before we start, please note that remarks on this conference call may contain forward-looking information within the meaning of applicable securities laws about Canopy Rivers and its investees’ current and future plans, expectations, intentions, financial results, levels of activity, performance, goals or achievements, or any other future events, trends or developments. To the extent, any forward-looking information contained in the remarks constitutes financial outlooks, this information may not be appropriate for any other purpose and you should not place undue reliance on such financial outlooks. The forward-looking statements are made as of the date hereof based on information currently available to management, and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause results to differ materially from those expressed or implied by the forward-looking statements. Financial outlooks are also based on assumptions and subject to various risks, and the company’s financial position and results of operations may differ materially from management’s current expectations. As a result, Canopy Rivers cannot guarantee that any forward-looking statements will materialize and you are cautioned not to place undue reliance on these forward-looking statements. Forward-looking information is made as of the date given and except as may be required by law, Canopy Rivers undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For additional information on these assumptions and risks, please consult the cautionary statement regarding forward-looking information contained in the company’s financial results, press release dated Monday, November 9, 2020, and the risk factors in the MD&A and the company’s annual information form dated June 2, 2020. Please note that company reports in Canadian dollars and all dollar amounts expressed today unless otherwise stated are in Canadian currency. I would now like to turn the conference over to Narbé. Please go ahead.
Narbé Alexandrian: Thank you. Good morning, everyone. Thank you for joining us today and for your interest in Canopy Rivers. This morning, we reported our financial results for the quarter ended September 30, 2020. I will begin the call with some highlights for the quarter, both from Canopy Rivers and our portfolio companies. And then I will provide an update on PharmHouse. Eddie will then walk through the financials before we conclude today’s call. Matt Mundy, Canopy Rivers’ Chief Strategy Officer and General Counsel will also join us for today’s question-and-answer period. While our focus this quarter was on our investment in PharmHouse, we are encouraged by both the progress happening across our portfolio, as well as in the broader cannabis sector. As you’ll hear today, many of our portfolio companies made significant announcement this quarter, and we continue to believe that the Canopy Rivers’ ecosystem is supporting some of the innovative companies that are shaping the future of the cannabis industry. We are also encouraged by recent trends at the industry level. In Canada, our recreational cannabis sales have grown steadily indeed through the last six months. Total cannabis sales grew 15.2% from June 2020 to July 2020, and then 5% from July to August, representing sales of $231.6 million in July and that’s $244.9 million in August. In Ontario, where retail is quickly expanding to meet consumer demands; July to August growth was 10.9%, as licensed producers and brands evolve their product offering to meet consumer demands. They’re optimistic that this will grow into 2021. In the United States voters in five States voted to approve cannabis-related initiatives in last week’s election, including the legalization of recreational cannabis in New Jersey, South Dakota and Arizona. While the future of cannabis at the federal level remains murky. We hope that the strong support for cannabis reform at the state level will be reflected federally in the near future. Moving on to some corporate updates. During the quarter, we welcomed Garth Hankinson to our Board of Directors. Mr. Hankinson currently serves as a Chief Financial Officer for Constellation Brands. Board also voted to point Asha Daniere, as Chair of the Board, following her Annual General Meeting in September. Ms. Daniere has served on the Board since May 2018 and has Chaired both the Compensation, Nominating and Governance Committee and Conflicts Review Committee of the Board. She also serves as Chair of the Special Committee of the Board reviewing the company’s investment in PharmHouse. We’re looking forward to further leveraging Asha’s guidance and expertise as we worked towards the solution and a resolution of the situation surrounding our PharmHouse investment and move forward in executing our mission to deliver value for shareholders. We have one other personnel change that now subsequent to the quarter, Olivier Dufourmantelle, Canopy Rivers’ Chief Operating Officer and COO of Canopy Growth, former COO of Canopy Growth will be leaving the company. Olivier has been a tremendous asset to our team. We thank Olivier for his contributions and wish him the best in his feature endeavors. I want to take some time now to highlight the progress we saw across much of our portfolio in the past quarter, while this growth may not always be reflected in our share price. We believe that in many of the companies we’re invested in, are positioning themselves for long-term success in the global cannabis market. We’re excited to continue working with them to access new markets and grow their market share. We’re also working towards eventual monetization of certain assets. Of all the growth we’ve seen in the portfolio, none is more encouraging the progress we’ve seen from TerrAscend. We highlighted this growth in our last earnings and TerrAscend followed up with another strong quarter. On the retail side, they opened its first Apothecary location in Berkeley, California. TerrAscend is also permitted to open up three dispensaries in the North region of New Jersey under the State Medical Cannabis Program. Finally, subsequent to the quarter, TerrAscend announced its signing of a definitive agreement to acquire HMS Health and HMS Processing, a cultivator and processor of medical cannabis products in the State of Maryland. HMS currently operates a 22,000 square foot cultivation and processing facility in Frederick, Maryland. Today, HMS produces dry flower and oil products for the medical cannabis market and has the capability to produce edibles upon regulatory approval. We are thrilled by TerrAscend success in recent quarters and remains that fastener beliefs that they are emerging as one of a few multi-state operators that stands to gain the most from ongoing legalization initiatives across the United States. Last week, selection results were another positive development for TerrAscend. New Jersey, where TerrAscend is one of the three operators permitted to cultivate and distribute cannabis under the State Medical Program voted overwhelmingly to legalize recreational cannabis. As a reminder, Canopy Rivers holds 19 million exchangeable shares in TerrAscend plus an additional 2.6 million common share purchase warrants of TerrAscend, exercisable upon the occurrence of similar events as exchangeable shares. There are a number of events that could enable us to monetize these shares, which as of market close on November 6, 2020, carrying an implied value of approximately $214 million. Sticking with the cultivation section of our portfolio, Agripharm had two exciting announcements this quarter. First, it announced it obtained a sales license amendment from Health Canada, enabling it to sell certain SLANG and Greenhouse Seed Co. branded products in Canada. Then in August, Agripharm secured a supply agreement with Ontario Cannabis Store to provide it with dry flower from Greenhouse Seed Co. Subsequent to quarter-end, SLANG announced that its open vape cartridges marketed and distributed by Agripharm were available for sale in British Columbia. Moving to the retail and consumer products side of our portfolio now. High Beauty launched canBE, a new line of natural, aloe-based products combining hemp seed oil, organic plant oils, essential vitamins, antioxidants, and bioflavonoids. canBE is available online through Walmart and in 1,700 CVS locations across the U.S. High Beauty has also signed a contract to sell canBE, Kohls in early 2021. canBE, as a complimentary, aligned to High Beauty’s High product line, which is available in more than 25 retailers and over 600 stores, in Canada, U.S., and Europe. High Beauty’s continued expansion is a sign of its management team’s resilience in overcoming the obstacles presented to retail brands at the onset of a novel coronavirus pandemic. In total, High Beauty’s products are now available in 33 retailers, totaling more than 2,800 stores in Canada, the U.S. and Europe. Dynaleo also continued to add its roster of white label customers this quarter. After announcing its first supply agreement in the previous quarter, Dynaleo agreed to another – with High12 brands in the second quarter. Dynaleo and High12 expect that these products will be available to consumers by the end of this calendar year. Our last update for retail is for YSS, which now strong second quarter results reporting a 12% revenue increase from the previous quarter. Subsequent to quarter-end, YSS also opened its 18th store, YSS Hamptons, in Edmonton. Construction is underway on the company’s next two stores, including its first Ontario-based store in Waterloo. With its expansion into Ontario, YSS is positioning itself as one of the handful of cross country retail brands. In the biotech and plant size portion of our portfolio, we have one update from BioLumic regarding the results of its preliminary trials using its proprietary UV light technology on cannabis. After seeing significant results in other crops, BioLumic’s light signals recipe treatment for cannabis Roosby [ph] achieved its highest cannabis yield gains of 59% dry flower mass. I noted that all strains receiving its treatment have surpassed 30% yield increases. Tests have shown cannabinoid increases of 25% or higher in each of THCA, CBGA, CBG, CBD, and CBC. Results like this reinforce our initial investment thesis that companies like BioLumic will come to play an important role in the global cannabis sector. Finally, an update on the technology portion of our portfolio. During the quarter, we participated in Headset’s bridge financing, signaling our vote of confidence in their strategy as they continue to expanding into new geographies and cementing themselves as a data leader for the cannabis sector. This follow-on investment consisted of a $1.1 million convertible promissory note representing a fully diluted equity interest of 8%. This quarter, Headset expanded its insight tools to Massachusetts and Oregon, and then subsequent to the quarter, it also expanded into Saskatchewan. By ensuring they continue expanding into both U.S. and Canada, Headset is capturing a holistic view of recreational cannabis markets across North America, enabling the industry to make informed decisions based on real-time consumer insights. We believe that our portfolio is heading in the right direction. Our public company investments are reporting strong results and we’re seeing progress in many of our private investments as well. In the coming months, we’ll continue to focus on supporting them through this growth, whether that’s through providing additional financial or operational resources and were applicable guiding them toward the monetization event that both maximizes value for the company and its management, and also our shareholders. I will now turn the next part of today’s call addressing PharmHouse part passing over to Eddie to review our financials. There were several PharmHouse-related disclosures made in the previous quarter and we want to provide an update on what we are doing today to try to resolve the situation in the best interest of our shareholders. As we announced last quarter, we formed a special committee to oversee and provide guidance relating to our investment in PharmHouse. Their mandate includes oversight and guidance with respect to a host of items relating to the investment, including the offtake agreements with Canopy Growth and TerrAscend, the credit facility on which Canopy Rivers is a guarantor and the consideration of alternatives to our investment in PharmHouse. While the special committee continued its review, there were several developments during and subsequent to the quarter. I will discuss these most recent updates before stepping back to provide investors with a clear view of event leading up to these announcements as well as the other action Canopy Rivers has taken and is taking to maximize value for our shareholders and in connection with our PharmHouse investment. On September 14, the company received a statement of claim filed by the majority shareholder of PharmHouse, concerning certain disputes relating to PharmHouse. The claim makes a number of allegations against the Canopy Rivers, Canopy Growth, TerrAscend, and TerrAscend Canada. We view the claim as it relates to our actions to be completely without merit and we intend to vigorously defend our position at appropriate time and in an appropriate form. Pursuant to an endorsement from the Ontario Superior Court of Justice dated October 30, 2020, the PharmHouse majority shareholder is to discontinue the Claim and has agreed not to issue a new claim in respect of this matter prior to January 1, 2021. On September 15, PharmHouse obtained an order from the Ontario Superior Court of Justice granting a creditor protection under the Companies’ Creditors Arrangement Act or CCAA. Pursuant to the court order, Canopy Rivers agreed to provide an interim debtor-in-possession or debt non-revolving credit facility up to a maximum amount of $7.2 million to enable PharmHouse to continue its day-to-day operations. We continue to believe in the role PharmHouse to play in the Canadian cannabis sector and by providing DIP Financing, we have helped PharmHouse maintain operations as it commenced its CCAA proceedings. The current DIP Financing is expected to keep PharmHouse in operation until the end of December, at which point we anticipate it will require additional capital. Finally, subsequent to the quarter, PharmHouse received court approval to initiate a Sale and Investment Solicitation Process to identify interest in, and opportunities for, a sale of, or investment in, all or part of PharmHouse’s assets or business. Outcomes from this process could include a sale, restructuring, recapitalization or other form of reorganization of PharmHouse’s business or assets. A number of options are on the table and we believe this is a very important step in the process of working towards an optimal outcome for our shareholders. The deadline for the first phase of non-binding offers will be on or about November 30 of this year. With respect to the offtake agreements between PharmHouse, Canopy Growth and TerrAscend respectively, these agreements are still in place. We understand the PharmHouse alongside in Y as the marker is carefully reviewing the offtake agreements and the circumstances surrounding them. and at the goal of this review is to determine the best path forward with respect to the offtake agreements. We will provide updates on these as needed. One of the areas that have generated questions among our investors is a deteriorated relationship with the PharmHouse majority shareholder. The initial thesis at PharmHouse with the combined one of the premier greenhouse operators in North America with offtakes with two of the largest licensed producers to build a low cost cultivator at scale. While in our thesis – while in our view, the thesis was sound, the success of the investment required the various parties at the table to work together. This evidently did not happen. As the minority shareholder in PharmHouse, we did everything we could to bring the parties together and reach a mutually agreeable solution and we believe that we took the appropriate steps from a minority ownership position to do right by pharmas and our shareholders. We are very disappointed with solution did not come to pass and remain resolutely focused on working towards a strong outcome for our shareholders. I will now turn it over to Eddie to walk through our financials. Eddie?
Eddie Lucarelli: Thank you, Narbé and thank you again, to everyone, who has dialed into the call this morning. I’d like to remind everyone that we have posted explanatory materials on our website at www.canopyrivers.com that provide a more detailed explanation on how to interpret our financial statements. Given that, we do not report financial metrics that are typical of Canadian LPs or U.S. MSOs. Before I dive into our financial results for the quarter, I want to acknowledge that our results this quarter were significantly impacted by the recent developments at PharmHouse, including the CCAA proceedings and the restructuring. We have made multiple investments in PharmHouse, including common shares, loans, and most recently the DIP Financing. And we have recognized a number of one-time charges, this period related to these investments. For context, our reported net loss of $110.4 million includes $112.3 million of pretax charges on PharmHouse-related items. I will speak about these in more detail momentarily. Turning to our results for the quarter, I’ll begin with our operating results. Net operating loss before consideration of equity method investees and fair value changes was $7.4 million for the quarter, compared to a loss of $4 million for the same period last year. Operating loss before consideration of equity method investees and fair value changes was $5.8 million for the quarter compared to income of $2.2 million for the same period last year. This includes the company’s royalty, interest and lease income, net of provisions for expected credit losses. On a gross basis, this income was primarily generated from the company’s royalty interest and Agripharm, Radicle and Tweed Tree Lot, secured the venture investment in Greenhouse Juice, term loan investment in TerrAscend Canada and shareholder loan investment in PharmHouse and it was offset by a provision for expected credit losses on interest and royalty receivables of $9.9 million. This provision for expected credit losses included an $8.9 million provision on previously accrued interest receivable in respect of the company’s shareholder loan to PharmHouse, which was recognized in connection with the PharmHouse recoverability assessment, which I’ll discuss momentarily. operating expenses were $1.6 million for the quarter, compared to $6.2 million for the same period last year, excluding share-based compensation, which reflected a recovery this quarter as a result of stock option forfeitures. Operating expenses were $2.1 million and included $1.3 million for employee compensation, marketing and business development and other administrative activities, and $0.4 million for professional fees relating to legal, audit, tax, accounting and other regulatory compliance advisory fees. This quarter, we also incurred $0.4 million in legal and advisory fees directly attributable to the PharmHouse restructuring and statement of claim filed by the majority shareholder of the PharmHouse. Our share of loss from equity method investees was $33.2 million for the quarter, compared to a share of loss of $0.7 million for the same period last year. As a reminder pursuant to an election available under the relevant accounting standard, we pick up our share of profit or loss one quarter in arrears, meaning that the financial results of our equity method investees that we report for the quarter ended September 30 relates to their financial results for the quarter ended June 30, adjusted for any significant events that occurred up to our reporting date. Given the material events that occurred at PharmHouse during the quarter and in connection with the PharmHouse Recoverability Assessment, the financial results for PharmHouse that we recognized this quarter through our application of the equity method included an impairment adjustment for PharmHouse’s assets. as such, our share of loss from our investment in PharmHouse equity was $32.6 million for the quarter, which reduced the carrying value of our investment in PharmHouse common shares to nil. the net change in fair value of financial assets at fair value through profit or loss was a decrease of $3.1 million for the quarter, compared with the decrease of $0.6 million for the same period last year. there are several financial instruments in our portfolio that are classified as financial assets at fair value through profit or loss. The decrease this quarter was primarily driven by the negative changes in the estimated fair values of our investments in the Agripharm royalty interest and Greenhouse Juice secured and unsecured convertible debentures, partially offset by the positive changes and the estimated share values of our investments in the TerrAscend Canada term loan, which includes the attached warrants at TerrAscend Corp., Vert Mirabel preferred shares and Tweed Tree Lot royalty interest. a detailed breakdown of the fair value changes in these instruments is included in note eight to our condensed interim consolidated financial statements. As I referenced, the company’s reported net loss for the quarter reflects several charges in respect of our PharmHouse-related financial instruments. as a result of the CCAA proceeding and restructuring, there were several indicators present at the September 30, to suggest that the carrying values or various PharmHouse-related financial assets, may not be recoverable. And that we may be required to recognize a financial liability in respect of the guarantee on PharmHouse’s $90 million syndicated credit facility. Accordingly, as of September 30, we performed an analysis, which we have called the PharmHouse Recoverability Assessment in our financial statements and MD&A to estimate the recoverable amounts of our various investments in PharmHouse. with the assistance of external appraisers and evaluators, the PharmHouse Recoverability Assessment required us to estimate the net proceeds that would be realized in a notional liquidation of PharmHouse’s assets under a scenario, where the PharmHouse greenhouse facility is no longer used for Canada’s operations. And then to assess how those notional net proceeds would be distributed to various stakeholders based on the priority of their respective claims on PharmHouse’s assets. Based on this PharmHouse Recoverability Assessment, it was estimated that the recoverable value of PharmHouse’s assets in this liquidation scenario was less than the priority claim on PharmHouse’s assets, held by the senior secured lenders on PharmHouse’s syndicated credit facility. accordingly, we recognized a number of charges for the period ended September 30 to reflect the fact that our PharmHouse-related assets may not be recovered and that we may have a liability in respect of our guarantee on the PharmHouse credit facility. These charges include the previously mentioned share of laws from our investment in PharmHouse equity of $32.6 million, which as I mentioned, reduced the carrying value of our common share investment to nil. A full provision for expected credit losses on the outstanding balances represented by the company’s loans receivable with PharmHouse of $45.8 million and the related interest receivable balances of $8.9 million and a provision for credit losses on the liability associated with the company’s guarantee of the PharmHouse credit facility of $25 million. The PharmHouse Recoverability Assessment and related charges, which I’ve just described, are based on the number of significant assumptions and estimates regarding the recoverable amount of PharmHouse’s assets under an ordinary – an orderly liquidation scenario, where the greenhouse facility is no longer used for Canada’s operations, the actual outcome of such a scenario, maybe materially different than that reflected in the analysis. After a consideration of operating income, operating expenses, equity method investees, fair value changes, and the other PharmHouse-related charges, Canopy Rivers reported a net loss of $110.4 million for the quarter. Below the net loss line, we captured the impact of net changes in fair value of financial assets at fair value through other comprehensive income, which has presented net of tax. on a net of tax basis, the net change in fair value was an increase of $23.4 million for the quarter, compared to a decrease of $28.3 million for the same period last year. this line item includes the net impact, fair value changes in our investments and equity instruments of investees that are publicly traded as well as other investments in equity insurance. the net increase this quarter was primarily attributable to the positive change in the fair value of our investment in TerrAscend exchangeable shares of $30.5 million, offset by a decrease in the estimated fair value of our investment in Vert Mirabel common shares among other smaller items. A detailed breakdown of the fair value changes in these instruments is included in note nine to our condensed interim consolidated financial statements. Total assets, as of September 30, amounted to $245.7 million. The significant components of total assets included cash $37.9 million, interest in royalty receivable net of provision for expected credit losses of $3.9 million, investments in equity method investees with the carrying value of $13.4 million, investments in financial assets at fair value through profit or loss for the carrying value of $78.3 million and investments in financial assets at fair value for other comprehensive income with a carrying value of $106.9 million. Total liabilities as of September 30 amounted to $26.7 million, primarily relating to the estimated financial liability associated with the company’s guarantee of the PharmHouse credit facility. Moving on to cash flows. cash used in operating activities was $1.1 million for the quarter compared to $0.7 million for the same period last year. Cash used in investing activities was $4.9 million, compared to $5.3 million for the same period last year and primarily related to advances made to PharmHouse during August and September of $3.3 million, as well as follow on investments in BioLumic and Headset. As of September 30, we had advanced $2.1 million to PharmHouse pursuant to the DIP Financing and have made additional advances of $3.1 million subsequent to quarter-end. Finally, cash used in financing activities is nominal and primarily related to a small level of share repurchases. We completed pursuant to our previously announced normal course issuer bid offset by cash proceeds from the exercise of options. Before I conclude, I want to reiterate that we are extremely disappointed by the recent developments at PharmHouse and the related impact on the financial results that we are reporting today. we remain critically focused on resolving this situation and maximizing value preservation for our shareholders. I will now turn it back over to Narbé to conclude today’s call.
Narbé Alexandrian: Thanks, Eddie. The developments at PharmHouse have highlighted and inherent risks with the venture capital model and that we do not take majority positions in an investee companies. We inject capital into companies with strong operators without overexposing ourselves and our shareholders to too much risk. This minority interest risk is one that all venture capital firms face, but it allows us to diversify a risk across multiple business models. While some investments may not produce strong returns, others will return many multiples on the capital invested, making up for those that do not. It’s important to remember that the issues facing PharmHouse are just that issues facing PharmHouse. Canopy Rivers has exposure to these issues, but our portfolio is more than PharmHouse. We have a low overhead, stable cash position and potential interim monetization events that could return capital to us if needed. Additionally and as I noted at the start of today’s call, many companies in our portfolio are producing strong results. Each of these investments has the potential to return value to our shareholders. We continue to put in the work needed to drive these companies to an eventual monetization event, but these milestones take time. The average venture capital timeline has companies taking roughly seven years from initial investment to acquisition or IPO. We feel we are in a stable position that affords us the opportunity to help our investments mature appropriately and we do not need to take any drastic steps at this point in time to prematurely liquidate any of our investments to bolster our cash position. We continue to work in the background on long-term plans that we believe will deliver value for our shareholders, this includes an increased focus on the U.S. market or believe the most long-term opportunity exists in the cannabis sector. As the regulatory framework continues to evolve, we believe that we will also be well-suited to capitalize on more opportunities as we are permitted to do so. We plan to discuss these plans in more detail in the coming months. That concludes our formal remarks. Eddie, Matt and I will now be pleased to answer your questions. operator, please begin the question period.
Operator: Thank you. [Operator Instructions] Okay. So, your first question comes from Graeme Kreindler from Eight Capital. Graeme, please go ahead.
Pat Sullivan: Good morning. Thanks for taking my question. This is actually Pat Sullivan on the line on behalf of Graeme here. I guess probably just to focus on PharmHouse a little bit more, I guess, how much capital, you guys said that PharmHouse with its the DIP Financing, it’s expected to keep running until December when it would need additional capital, how much a capital you estimate it needs to bring it to operations back to a level that can fulfill its commitments?
Narbé Alexandrian: Yes. thanks for the question, Pat. I think one thing that’s important to remember is that as part of the DIP Financing, we size the facility in a manner that allowed PharmHouse to continue its day-to-day operations. So as we referenced, it is continuing to grow in its facility, in respect of the offtake agreements. The DIP Financing was sized, it’s just over $7 million and that covered a three and a half month period. So, while we haven’t indicated a specific estimate of what PharmHouse would be required to have beyond that period. I think that’s a reasonable approach to take when you’re trying to think about the capital needs of PharmHouse beyond that, just based on how it’s being funded today and the pace of capital deployment today.
Pat Sullivan: Okay, understood. and then I guess, is the company looking to deploy capital into further investments at this time, or is preserving cash more of a priority?
Narbé Alexandrian: We are – we’re continuing to look at companies and deals across both Canada and the U.S. especially as we’ve just seen that the Biden administration come into power. Our deal flow is just as strong as it has been before. at this point in time, we haven’t made any new investments since April of 2020 as we look to resolve the PharmHouse situation and then we can get back into the market in a more aggressive stance.
Pat Sullivan: Okay, understood. And then I guess, can you elaborate on what types of opportunities are most compelling to RIV right now? I would assume the U.S. market, like you said, is maybe a focus anything specific or any verticals or segments you might be looking at?
Narbé Alexandrian: Absolutely. So, there’s four areas that we’re really want to focus on and these are areas after seeing about 2,200 pitches today. We agree that these are areas, where there’s sustainable competitive advantages, and there’s a competitive moat around the sector. So, the first one would be on the plant science side. We know that cannabis has been prohibited for over 90 years, and the cultivation methods and processes that we see are fairly primitive in relation to other crops that has been studied and has been processed numerous times. So, we were making a large view and thesis around the agricultural technology side of the sector, where companies like BioLumic and ZeaKal can really pave the way of how we see cultivation in the future. The second area, where our focus is on the biosynthetic side. The biosynthetics are – is the ability to create cannabinoids in labs, something bacteria, yeast, and other bioorganisms. We believe that biosynthetics as we’ve seen them shape up the pharmaceutical sector, hopefully, a large role for the cannabis market in the future. Maybe, not so much in the major cannabinoids, CBD, and THC, because those are readily available in the plant, but more so in the 98 plus minor cannabinoids that are out there that the plant doesn’t readily produce in large quantities. The third area of our focus is on brands. We think there’s still many brands that are coming into market and that’s a brand if any new brand equity that we expect in the cannabis markets. So, it is up in the air. At any given time, when we look at the top five companies within – sorry, top five brands within a region, we noticed that on a quarter-over-quarter basis, these brands are changing their positioning all the time, which is a signal that they’re – the industry has not yet matured. So, we’re very bullish on brands that come into market that are hyper consumer focused and really understand the end consumer very well. And the last piece and our fourth pillar is on the technology and software side. We’ve made a couple of investments; LeafLink International and Headset, which was a big play on the software and technology side. And we continue to look at the software technology side, especially as we look across the border, into the U.S.
Pat Sullivan: Okay, understood. Thank you.
Operator: [Operator Instructions] Okay. So, it appears there are no further questions at this time. Please proceed.
Narbé Alexandrian: We look forward to sharing further progress in the coming months. I want to close off by saying how excited we are about the future of cannabis. in Canada, we’ve seen a tremendous growth at the retail level with monthly growth of 8% to 9% on an average this year. as this continues, we see the market moving into a more long-term supply demand bouts. In the U.S. with the Biden administration, we estimated 12 to 18-month time horizon to see some of the unity tax taskforce recommendation take shape, including the decriminalization of cannabis in the U.S. and the legalization of medical cannabis, and the rescheduling of cannabis outside of schedule one classification. The venture capital model is defined by taking on investments that have high risks, but come with the ability to score extra extraordinarily high returns while PharmHouse did not work out to original thesis and other investment TerrAscend did, providing us with a sizable return. We have another 15 portfolio companies, which are trying to take advantage of the trends ahead of us. And I’m excited to share more news with you as they continue to grow. Thank you for joining us and have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.